Operator: Hello and thank you for standing by. My name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the Veeva Systems Fiscal 2024 Fourth Quarter and Full Year Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] With that, I would like to turn the conference over to Gunnar Hansen, Director, Investor Relations. Please go ahead.
Gunnar Hansen: Good afternoon, and welcome to Veeva's fiscal 2024 Fourth Quarter and Full Year Earnings Conference Call for the quarter and fiscal year ended January 31st, 2024. As a reminder, we posted prepared remarks on Veeva's Investor Relations website just after 1:00 PM Pacific today. We hope you have had a chance to read them before the call. Today's call will be used primarily for Q&A. With me today for Q&A are Peter Gassner, our Chief Executive Officer; Paul Shawah, EVP, Commercial Strategy; and Brent Bowman, our Chief Financial Officer. During this call, we may make forward-looking statements regarding trends, our strategies and the anticipated performance of the business, including guidance regarding future financial results. These forward-looking statements will be based on our current views and expectations and are subject to various risks and uncertainties. Our actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-Q. Forward-looking statements made during the call are being made as of today, February 29, 2024, based on the facts available to us today. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We may discuss our guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public form. On the call, we may also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release and in the supplemental investor presentation, both of which are available on our website. With that, thank you for joining us, and I'll turn the call over to Peter.
Peter Gassner: Thank you, Gunnar, and welcome everyone to the call. It was a great quarter and year of execution for Veeva with strength across the business and results above our guidance. Total revenue in the quarter was $631 million with non-GAAP operating income of $239 million. For the year, total revenue was $2.4 billion and non-GAAP operating income was $843 million. This past year was important in many ways for Veeva and the industry. And I'm proud of all the team accomplished. We delivered the Veeva Compass Suite, giving the industry a better alternative to legacy data. We established the clinical platform and progressed on our new commercial cloud. It was a milestone year that I think we'll look back on as one of the most significant. We'll now open up the call to your question.
Operator: [Operator Instructions] Our first question will come from the line of Joe Vruwink with Baird. Please go ahead.
Joseph Vruwink: Great. Hi, everyone. Thanks for taking my questions. I wanted to ask about the services outlook and how it's changed from your preliminary views. The shareholder letter mentions investments related to both CRM at large customers. Maybe you can just go into the approach you're planning to take with these initial migrations and how it is differing from those original plans? And then related to that question, does this outlook assume there's maybe more large customers, top 20 customers, ultimately undertaking migration activity than perhaps has been publicly announced to this point?
Peter Gassner: I'll take that one and then Paul, maybe you can join in as well. There's no major change in our strategy. It's just a refinement as things get closer into view. We've decided and have been able to provide a little more internal guidance about how much investment we'll make in Vault CRM related services. We think it's just the right thing to do. It's not -- moving to Vault CRM wasn't anything our customers asked for. They were happy with Veeva CRM. We're going to bring them a better solution over time, an integrated solution with the sales, marketing and medical, all industry-specific all in the same database. But it wasn't anything really they were asking for or budgeting for. So we really want to do the right thing by those customers because remember, Vault CRM is just -- that's just one of the things that we have with those customers. We have big customer relationships and Vault CRM is just one of the things. So we want to help them through that. So no real change and Paul, in terms of progress with top 20 type CRM customers, maybe you can give an update?
Paul Shawah: Yes, Joe, thanks for the question. We're progressing well with our top 20 customers. Really, all of our customers pleased to announce that we -- you heard us announce two top 20 global commitments. We announced that last quarter. I'm pleased to announce a third moving their existing Veeva CRM footprint. They're committing to move all of that over to Vault CRM so now this is three top 20 pharmas. So that's just another example of the kinds of progress that we're making. We're also in deep conversation with all of the rest of top 20 and many other customers. And those conversations are progressing well, given the innovation that Peter has talked about. We're doing something fundamentally different integrating sales and marketing and medical in a very tight and unique way. So I'm optimistic you'll hear more about top 20s over time committing to Vault CRM.
Joseph Vruwink: Okay. That's great color and congratulations on the new win. At the segment level, maybe it looks like the commercial business is set to accelerate based on the outlook. R&D decelerating. I suppose I wanted to focus on R&D because there's quite a lot of traction just in terms of what is being awarded at the moment. I think there were two new enterprise EDC wins with top 20 this quarter, for example. Is maybe the rating between the lines that the level of activity is actually better than might be reflected in revenue just in this upcoming 12 months, but you're seeing visibility for maybe strength beyond this upcoming fiscal 2025?
Peter Gassner: Yes, I'll take that one. So if you -- if we step back just for a high level and how the business breaks down, overall, the TAM is about $20 billion, right? So it's a big TAM, and we're less than 15% penetrated. So we got a long way to go. That's important to remember that. It's a long-term thing that this is going to be a growing and profitable business for many years. And then the other thing is quite durable because these products are critical products and they're complex products. They're not things like e-mail or something like that. And then we have a lot of products that fit together. So with that, with that context, I think it's relevant to look at the different parts. And you can really break it down into three parts from sort of a revenue perspective, the Development Cloud, the R&D area. That's the biggest one. It's about 50% of our revenue right now, and it's about 65% of our overall opportunity, and it's growing roughly 20% or so and that will really grow well into the foreseeable future. And because we have a lot of new products, we have a clear competitive advantage there, and these are mission-critical systems. Now what you mentioned, Joe, is customers don't rush in these areas. These are critical systems. They don't rush and these are some long-term programs. So for example, a couple of these wins that we had they will roll out and they will get to full revenue four and five years from now. So yes, the fiscal impact comes much later. One thing important to remember about 10 years ago, when we were going public, Development Cloud, that was quite a bit less than 5% of our revenue, and now it's over 40% and still growing in the 20%. So that's Development Cloud. And then you've got this -- the other areas like our CRM and the add-ons, we kind of call that the CRM Suite. And in that area, the revenue is stable. It's not really growing because of two things. One, we have really high market share and happy customers on our core CRM or Veeva CRM and some of the add-ons. And then we need to migrate those customers to Vault CRM before we can sell the new add-on products like marketing automation and service centers. So that's kind of a stable 25%. And then the other 25% roughly is a mix of other things in commercial. And if we call that other commercial, this is some stable things like commercial content and Crossix where we are the market leaders, but we continue to grow at a moderate and steady pace and customer success is really high with those products. And then newer products like Link and Compass. And these are small now, but they're growing rapidly on a percentage basis, and they have high potential if we can execute well. Now we have to remain seen if we can execute well. So overall, this other commercial area that I talked about, that's growing roughly 15% or so now, and that can continue to grow into the foreseeable future as well. So I thought it was good to just give that background on how to look at the business overall.
Joseph Vruwink: Now that's a lot of good detail. Thank you very much. I'll leave it there.
Peter Gassner: Thank you.
Operator: Your next question comes from the line of Saket Kalia with Barclays. Please go ahead.
Saket Kalia: Okay. Great. Hey guys, thanks for taking my questions here. Brent, maybe I'll start with you. Maybe just congrats on those two additional EDC wins. The question is, can you maybe talk about how billings ramps are sort of contributing to next year's billings right? You've had great success in the EDC market. Is there a way to think about sort of next year's billings growth with or without those -- the benefits of those ramps. Does that make sense?
Brent Bowman: Yes. I understand. Thanks, Saket. So real pleased that how we exited fiscal year '24, exceeding our billings guide, so executing well there. And if you think about the EDC wins, by way of example, we're still pretty early days, as Peter said, so five of those top eight wins have been in the last 12 months. So we're still early in that ramping phase. So they're contributing. They're contributing more in fiscal year '25 than they did in fiscal year '24. And those eight will continue to contribute more as we look out forward.
Saket Kalia: Got it. Got it. That's helpful. Peter, maybe for my follow-up for you. It's a little bit of a higher-level question. Can you just give us an update on how you're feeling about the health of your end markets, I mean, it seems like things are just relatively stable compared to last quarter, which is great to hear. But since you spend just so much time with customers, how do you think customers are thinking about investing in technology here in 2024 versus what was a tougher 2023?
Peter Gassner: Yes. I think there's a little more optimism. The science is going well. And we've had this disruption of conflicts and interest rates for a while now and people are getting kind of used to it. So there's a little more optimism. Of course, things could change. I think that will translate into a bit more projects that get thought about this year, especially towards the end of the year. But a lot of that time, those things get kicked off in the following year. So a lot of our projects, you just don't wake up one day and say, hey, let me redo my drug safety system. Now it's these are big projects. There's some change management and there's some thought into it. But overall, I like the feeling that I feel from the industry right now.
Saket Kalia: Very helpful. Thanks, guys.
Peter Gassner: Thanks.
Operator: Your next question comes from the line of Ken Wong with Oppenheimer. Please go ahead.
Kenneth Wong: That's fantastic. The first question for you, Brent. As I think about the outlook, you have solid teens growth on subscription and billing. I couldn't help but notice you mentioned being a little more prudent with the outlook which I think is a language you guys haven't used in the past. So I guess I would love to get a sense as we think about the guide, are you baking in additional cushion? Is it just kind of thinking about when the progression of the demand might come back through the year. Would love any additional color you can give on just how you're thinking about the makeup of guidance?
Brent Bowman: Yes, Ken, overall, philosophically, there's no change to how we approach guidance. There's obviously a number of variables in play, whether it's the macro and the impact and how that's impacting our service or our subs business on billings, you got things like duration and frequency. So we kind of take a step back and look at all those variables, and we think we've taken a prudent approach holistically given the variables at hand. So not a fundamental change in how we guide.
Kenneth Wong: Got it. Okay. Really appreciate that color. And then for Peter, on the EDC side, I feel like historically, you guys have talked about that end market through the lens of winning new trials and that being where maybe the opportunity set was I couldn't help but notice in January you guys did a migration of a study portfolio for an enterprise customer. Like could we possibly see the installed base as a potential opportunity going forward based on what you saw with that migration?
Peter Gassner: Let's see. How to think about that. On the EDC, when we sell EDC field, there's really two types. One would be an enterprise deal and that's where we agree, hey, it's a long term, it's enterprise agreements that will ramp over time. And over time, you'll run all your studies on Veeva. And that doesn't -- the revenue for that doesn't change based on how fast they ramp or whether they migrate or whether they don't migrate. Then we have other ones which are study-by-study costs where sometimes it's with a CRO or a small biotech, they may be only running one or two or three studies, and we may compete for that study and win that study. the migration really won't impact our revenue directly at all. What it is, is, let's say, if a customer signs up for an enterprise agreement with ours, and they're rolling out and they're quite comfortable with Veeva. They might get to a point where they have 20, 30 studies that will run for a long time, and they want to clean up their IT environment, and they want to have a consistent clinical research site experience. So they use our migration tools to clean that up rather than having some straggling studies on the legacy technology for honestly, what could be three, four, five years. And that gets brittle who knows what could happen with that straggling vendor, whether it has a downtime security patch needs to be put on, whatever it is. It's just not clean. So that migration capability actually translates into an advantage in our enterprise sales because we have that capability and nobody else really has that capability. So it would only have an effect there. It doesn't really affect in the small market where we're competing study by study.
Kenneth Wong: Perfect. Thank you, Peter.
Peter Gassner: Thanks.
Operator: Your next question comes from the line of Brian Peterson with Raymond James. Please go ahead.
Brian Peterson: Thanks and congrats on the strong wins this quarter. There's been some mention in the past about some customers looking to take large bites of the apple and buying several products at once. We obviously heard a lot about wins across multiple product areas this quarter. I'm curious, are those concentrated with a few customers like the one with BI? Or is it much more diversified across the customer base? Any color there?
Peter Gassner: I guess I can take that one. I would say this is diversified, more diversified. We had some quality wins and those were with certain customers. We had a big clinical operations win for multiple clinical operations products. That was with a customer in Europe. We have a couple of EDC of top 20 and those were actually with different customers. So, no, it's spread all around, I think, it's the best way to say it, both in US. and Europe and just different customers.
Brian Peterson: That's great to hear. And Brent, maybe a follow-up. I know the cash balance continues to grow. How are you guys thinking about looking at capital deployment priorities over the next few years here? Thanks, guys.
Brent Bowman: Yes. Overall, Brian, continuing to our current capital allocation strategy, no change. We run a profitable business. We generate a lot of cash. So we are focused on M&A as a use of that cash. And we are a disciplined company, and we'll take a disciplined approach to how we look at M&A. We do consider other uses of cash as a management leadership team, but our focus today is M&A.
Brian Peterson: Thanks, Brent.
Brent Bowman: Thanks, Brian.
Operator: Your next question comes from the line of Rishi Jaluria with RBC Capital Markets. Please go ahead.
Rishi Jaluria: Wonderful. Thanks so much for taking my question. I wanted to first ask on AI and maybe ask in a little bit different way because I know it feels like you're planning your cards a little bit close to the chest on your own AI strategy. But I want to ask what are you seeing out of life sciences companies in terms of how AI has changed on things, whether that's accelerating drug development, whether that's more targeted marketing, maybe if you could walk us through kind of what those conversations would look like? And what sort of role you think you can play in those changes? Then I've got a quick follow-up.
Peter Gassner: Rishi, I would say the most direct impact, and it's been happening a while before large language models as well as AI and drug discovery. Very, very targeted AI models that can do things like protein folding and analyzing retina images, things like that. So this is -- this is very powerful, but very therapeutic area specific, very close to the science in the R&D, and I -- there's not just one AI model there is multiple specialized AI models. So that's going on, and that will continue. I would say that's kind of part of the fabric of the industry now. Then in terms of other areas, really, there's a lot of experimentation with large language models. And what people look at it for are a) Can I just have general productivity for my people? Can they write an e-mail faster? Can they check their e-mail faster? Can they research some information faster? So that's one thing that's going on. Also, specific use cases like authoring, can I -- can I author a protocol faster? Can I author a regulatory document faster? Now faster is one thing, but also have to be very accurate. So I would say there's experimentation on that. there's not yet broad production use on that. And certainly, some of these critical things has to read a lot of quality control on it. So those are probably the two biggest use cases. Really three. Research, general productivity and authoring. And then as far as our rule, we've been doing some really heavy work over the last two years on something in our Vault platform that's called the Direct Data API. And that's a pretty revolutionary way of making the data come out of fault in a consistent -- transactionally consistent manner much, much faster, roughly 100 times faster than it happens now. That's going to be critical for all kinds of AI applications on the top, which we may develop, which our customers may develop, and we're also utilizing that from some really fast system to system transfer between our different Vault family. So that's been the biggest thing that we've done. We haven't really invested heavily in large language models. So far, we just don't see quite the application in our application areas, not to say that, that wouldn't change in the future. I would, I guess, I would say we're in a pretty good position because AI really -- the durable thing about AI is the data sources, the data sources. The AI models will come on top, and that will be largely a tech commodity, but the control and the access to the data sources, that's pretty important, and that's kind of where Veeva plays.
Rishi Jaluria: Yes. Got it. Okay. That's really helpful. And then you had your first full Vault Clinical Ops Suite customer in the deal, sorry, in the quarter, can you maybe talk about the uplift from eTMF to adopting the full suite, what that looks like and what you can do to maybe accelerate more of those types of wins? Thanks.
Peter Gassner: Yes. Now that's the specifics of that customer, of course, I won't go into the exact specifics here, but I can quickly give you my thoughts on it. I would say there that customer had eTMF, and that's one of our larger applications and has had for a number of years, fully deployed that one. When they got the other four applications in clinical operations, they more than tripled our opportunity, our end-state in clinical operations. So in that case. And I won't go into the exact numbers, but I know it's more than tripled. So it's significant. When you look at the CTMS, the clinical trial management system, that's a really important system study training, really important system for training thousands of research sites around the world and maintaining compliance and doing that in a friendly and friendly way. The payments processing. That's another thing that's key, the processing the payments out to the clinical research sites and then our product called Site Connect, which is about automating the information flow from the sites to the research, sorry, from the sites to the pharma company. During the start-up, during the conduct of the study and also critically at the end of the study, things that are called end-of-study media that have to get out to the site and we're doing that in an automated way. So there's a ton of value there that more than triples our value of eTMF.
Rishi Jaluria: Wonderful. Thank you.
Peter Gassner: And I would say last comment that customer won't always be like that where a customer says, hey, we just really want to modernize clinical operations, and we're looking to this partner to do it, and we're going to do it in a holistic way over a number of years across a number of products. What's more common is there's a need in a certain area, study training. The study training group has a need, hey, let's use Veeva or the payments group has a need, hey, let's use Veeva. That's still the more common use case.
Operator: Our next question will come from the line of Stan Berenshteyn with Wells Fargo Securities. Please go ahead.
Stan Berenshteyn: Hi. Thanks for taking my questions. So you rolled out Compass Prescriber Compass National. I realize it's still early, but can you share any anecdotes about customer reception, customer demand on those products?
Peter Gassner: Yes. It's very early. It's a good question, especially well, Compass patients, but especially prescriber and national, these are quite innovative products. So it's going to take a while for customers to understand and adopt these. It's almost like going from the cloud sorry, from client server to cloud. It's sort of, well, it's a different way of doing things. So the reaction from the customers has first been for some, they're busy and they're not interested. For some, they are like, oh, I want to look into this. And then when they look into this, like, well, wow, this is really different. And they have to absorb that a little bit. This is really different, and then for some early adopters, they have jumped on like, wow, I can target physicians that I've never been able to target before. I can see data on my competitors' products that are administered in the medical setting, not a retail product, I can see that down to the ZIP code level and the HCP level. And I can see things like unattributed scripts that where we don't -- where the -- the health, the doctor is not specified, but they can see the health system. These are things that were just not possible before. So and for a long time, not possible for really 20 years here. So now it's the process of wow, that data is available, what should I do with that data? How can I optimize? So it's -- it's going to take some time, and it's for early adopters, which will generally come in innovative companies coming to market. They don't have any existing infrastructure and they're innovative type people and hey, let's just go for that. And then what we've had is some brands in large companies that are small brands, pre-commercial brands, and they're thinking, wow, I can -- they have some freedom and latitude to go off and do what they do. And they're getting this new data set, then, okay, we'll go for that. We're the hardest ones and what just takes time, the well, the big established brands, right? Because they have a motion, and it's going and it's working. Very reticent to disrupt that because they have a limited patent life of these products, and they don't want to be risky in there. So that's a little bit of color of what we're seeing.
Stan Berenshteyn: That's very interesting. I appreciate that. Maybe as a follow-up, just sticking with the marketing team here. You called out strength in Crossix. It seems it's pretty broad-based on the prepared remarks. Is it just overall market growth? Or are you actually taking share as well here?
Peter Gassner: I believe we're taking share, yes. What's happened is we just continue to track record of customer success, just sort of grind it out all the customers are successful with Crossix, our data network for what we're doing there is the largest and most applicable. So I think bring some boom times. There was a little more experimentation with other areas. Some people got their fingers burned a little bit. And I think that we haven't. We haven't burned anybody fingers. So customer success leads the way. I think that's the main thing.
Stan Berenshteyn: Great. Thanks so much.
Operator: Your next question comes from the line of Brent Bracelin with Piper Sandler. Please go ahead.
Brent Bracelin: Thank you. Good afternoon. I was hoping to go back to the demand environment with a specific lens towards the SMB segment and then the top 50 enterprise segment. Can you maybe just compare, contrast what you're seeing in SMB? Are there any green shoots there or not? And then also compare that with the enterprise top 50 segments, what are you seeing there relative to this year versus last year? Thanks.
Peter Gassner: I'll take that one. This is Peter. The emerging biotechs, the small center of the segment is still a tough sliding there. This year, we saw a record number of companies get acquired and go out of business. And a small number of new companies were able to get escape velocity because of the funding environment, it's tough, and it continues to be tough. And you never know when it turns around until it turns around, all you know is that it hasn't turned around yet. Then in the top 50, I would say the feeling is just kind of a bit resigned that, hey, we're in for this -- there's some global conflicts, there's inflation, there's IRA Act, but that hasn't hurt us too bad yet, so we could just keep going. Also there's -- I think there's a renewed focus on execution and long-term execution. They're really seeing that that's important. I think there's some excitement about the science as well. Like, for example, we have some really big brands now in the city area. That's something that didn't exist three, four years ago. And so that's renewing people's optimism like, wow, the science will lead the way. So it's really different in the top 50 versus the emerging biotechs.
Brent Bracelin: Helpful color there. And then my follow-up is back to M&A. And the question here is fiscal 2025 is going to be a very important year in that cash flow could exceed $1 billion for the first time. You have $4 billion in cash. Just thinking through the philosophy on M&A, historically, it's been around small technology tuck-ins, you're a much bigger business, you got a lot more cash flow generating coming in every year. Would you ever think about maybe larger bolt-on acquisition to go after a new area? Just thinking through M&A a little differently given the size of the business today and outsized cash generation you're generating now as well?
Peter Gassner: Yes. I can talk to the general philosophy of M&A. I think it's no secret, I can just give you the formula. First of all, it has to make some business sense with the market. It has to be a market that we're interested to go in, either it's complementary or somewhat adjacent to what we're doing. So that would be number one. It has to have a cultural fit with the company that you're considering acquiring because otherwise, it just absolutely will not work. And 80% of acquisitions fail. But at Veeva, we've had all of our acquisitions succeed. So it's this discipline. The cultural fit is a real thing, and it's an indicator of many things, not that our culture is the best culture or whatever, but a company that doesn't fit with our culture, it will not be a successful acquisition. Third, you need to have a very clear product and organizational structure plan that's been thought out ahead of time so that you could announce it to both teams from the day you would acquire them. If that doesn't happen, it's an indicator that you don't have enough bench strength to operate this thing. And therefore, you'll lose it in the integration or the business strategy isn't actually clear because you can't say it to people. So in that, I think those are the parameters. So I don't think we would be limited by size. If we saw something that was right that hit those parameters and that would cost us $3 billion more than we would go for that. But the other thing you need to is you need a willing seller. And so it's timing of it. And that's why 80% of acquisitions fail is because people rush in and they buy things that don't fit these parameters. We're just not going to do that. I would rather return money to shareholders than wasted on a failed acquisition.
Brent Bracelin: Makes sense. Helpful color. Thank you.
Peter Gassner: Thanks.
Operator: Your next question comes from the line of Jack Wallace with Guggenheim Securities. Please go ahead.
Jack Wallace: Hey, thanks for taking the questions. Just wanted to go back to the guide and it seems like there's been a lot of big momentum coming into the year. We've got some price increases. We've got some ramping deals. I think the pipeline is healthy of ruling buyers, timings made a little bit of a question mark. I don't want to belabor the term prudent here, but it does feel like there's more sources of potential upside in a higher floor of -- whether it's billings or subscription revenue that kind of media had coming into the year and that it's just a matter of grinding out a handful of strategic wins in order to how to get to the high end or get above the guidance range. Am I thinking about that correctly?
Brent Bowman: Yes. So what I would say is I wouldn't interpret the choice of words of prudent as there's this incremental level of conservatism that's baked into the guide. I guess I would start there. We've considered all the factors that we've talked about on the call today. And we've considered those and we think we have a guide that's reflective of the best calls of the numbers like we have historically. So I would think of it that way. There's a number of items to contemplate in like the services portion of the business, which can be a little bit lumpy at that business. But overall, we feel really good and have conviction on the numbers we provided.
Jack Wallace: That's helpful. And then just on the 1Q guidance, was there any lingering impact from rep reductions that over the last couple of years just impacting 1Q? And then just on the I think the third one here, the services. Just seems like you're taking a more aggressive approach there. I'm just wondering how much kind of automation potential that play to help improve the CRM migrations? Thank you.
Brent Bowman: I can take the first portion of that on the -- on your question around rep reductions. There's -- the digital portion of those rep reductions, that's largely behind us. So there's I wouldn't think of that as an incremental headwind as you look at fiscal year '25.
Jack Wallace: Got it. Thank you.
Brent Bowman: Okay.
Operator: Your next question comes from the line of Karl Keirstead with UBS. Please go ahead.
Karl Keirstead: Thank you, Brent. Could we talk about your decision to raise the operating income guidance for fiscal '25. To me, that's meaningful a number of software companies seem to be going the other way where against the backdrop of needing to lean into R&D, invest in AI, they're posting somewhat shinier margin upside. But you've raised it to a pretty high 30s level. Can you talk about your calculus there?
Brent Bowman: Yes, I'm happy to. So maybe just first taking a big step back, so we provided $1 billion plus guide about a year ago, which is a bit not typical, and we wanted to provide some context around the TFC standardization. So now you fast forward 12 months, and from that, we've been executing well, right? We've been executing over the past year. And the 39% reflects that. And that reflects our operating model and the efficiency and effectiveness we get out of our operating model, and also the power and efficiency of the Vault platform. So it really comes down to that. We're making the investments we see are necessary to drive customer success and growth. We're not short changing those. And -- but overall, it's just about execution.
Karl Keirstead: And Brent, maybe as my follow-up -- I'm sorry, are we going to say something?
Peter Gassner: Yes, I would just say we're -- this is Peter. We're -- as we scale, I think we're getting a little more efficient is getting more efficient in our processes, in our customer relationships and our use of our Vault platform, and we're being diligent. That was a concept we call lean teams. Not doing layoffs, but we want lean teams. We want the smallest teams possible with high-performance people that could perform well together. So this kind of discipline that's why our margins are increasing. And I think you'll see that from us increasing margins over time.
Karl Keirstead: Got it. Okay. Helpful. And then maybe as a follow-up, if we could just go back to the optimism comment. It sounds like both of you, Peter and Brent are dissuading us from thinking that, that increased optimism would have any real impact on revenues and billings this year? I think we're hearing that message. But if I could just press, why not, if your clients are getting a little more optimistic, could projects that might be stalled start to move forward discretionary spend start to come back. Why not?
Peter Gassner: I think most of these things that we deal with, we have very little discretionary stand other than in services, right, because we deal with these critical systems and complex system and they have more thinking time. They have -- they have more thinking time. So I just don't think it's stuff that would impact this year. And having said that, we don't know what's going to happen this year. We do live in some uncertain times. We have some interest rate things going on. We've got two global conflicts going on. So we have to figure that uncertainty. Again, it's not a guarantee that in September, everything is going to be the same as it is right now.
Karl Keirstead: Got it. Okay. Thanks for that color.
Peter Gassner: Okay.
Operator: Your next question comes from the line of Ryan MacDonald with Needham & Company. Please go ahead.
Ryan MacDonald: Hi. Thanks for taking my questions. Maybe first to start out with CRM. I noticed the nine wins in the quarter and even mix of 5 Volt and 4 Veeva CRM. Just curious what you're hearing in terms of the rationalization from customers on still selecting Veeva CRM. Is it something that they don't want to wait until April of '24 to be able to do so or anything like that? And then is there -- are you contracting in a different way now for Veeva CRM versus Vault, whether it be duration or putting in commitments to migrate over to the new CRM. Just any color there would be helpful?
Paul Shawah: Yes, Ryan, I can take that. This is Paul. So the conversations we have with all of these customers, it's a dialogue. We go in with full transparency. We talk about why they want to choose one or the other. We don't go in with a preconceived notion. We listen and talk to the customer. And then based on what their requirements are, we guide them. We try to lead the customer and make sure we make the right decision. There may be reasons to do Veeva CRM that includes some very specific features and functions that they really need early on that they want to start there with that would be a common example of why they may choose Veeva CRM of Vault CRM, but those things are going away quickly. Just to give you a perspective, we'll be a general availability in April. We're well on the way and on track for that and at full parity with everything in Veeva CRM will be in Vault CRM by the end of this year. So it's really a timing issue. And starting in April, everything will be Vault. And we're comfortable and confident in that time line and that milestone. So that gives you some guidance there. In terms of the -- how we're contracting, we're contracting in a very similar way. There's not really a material change. So the licensing is not exactly the same, but it's very similar. And then in terms of timing of contracts, it's pretty much all the same, annual deals that we do, and it's all per user base.
Ryan MacDonald: Super helpful. I appreciate that. Maybe a follow-up on the data strategy. Obviously, early days with the new prescriber national data available now. But one thing we've seem to have picked up from other vendors in the data space is that there's sort of this constant need for it, whether it be maintenance or additions to grow their data sets over time to remain competitive and maybe those are vendor-specific issues. But I'm curious now that you've got prescriber and national rolled out in addition to patient, how you're thinking about sort of that data expansion or acquisition strategy moving forward, whether that's organic or if you -- and you license it from other sources or maybe M&A makes sense. Just curious how you're thinking about data expansion strategy moving forward.
Peter Gassner: In terms of data acquisition, yes, we make end data products that we sell to our customers. And of course, we buy data inputs, call it data acquisitions. We have a pretty unique strategy as it relates to Compass, where we're really multi-sourcing. We're sourcing data from a lot of different sources, and we have really excellent industry-leading patient tokenization process that's kind of fundamentally different than the common one out there. So when we do this, we can multisource from a lot of different places bring it together and avoid duplicates. So when we do that, we'll have more data sources than what's common, but no data source will be particularly extra critical to us. So when we see a good deal for a data source and a good set of terms, which means we can contract it for a number of years, and we know what the cost is and it's not that expensive. We'll do that. And if we see something that's not good, such as, hey, we don't have stability over multiple years or the cost is too high than we want to pay, then we just won't purchase that. So you're not going to see anything dramatic from Veeva. There's no step function in cost or something like that. Very importantly for us, these data acquisitions, they power both our Crossix business and our Compass business. So that's very different, right? With one set of data purchases, we're able to power two good-sized businesses. And so that lowers our percentage data cost
Ryan MacDonald: Super helpful color. Thanks, Peter.
Operator: Your next question comes from the line of David Windley with Jefferies. Please go ahead.
David Windley: Hi. Good evening. Thanks for taking my question. Peter does Annex 1 have any stimulative impact on your quality products, the need for your quality products? Does that regulation in Europe influence that at all?
Peter Gassner: I don't know that one. I probably -- if I do some research, I can figure out what Annex 1 is, but we'll have to get back to you. We can get back to you offline as long as it's not a material non-public thing. So sorry about that one. You stumped me on that one.
David Windley: Well, I'm sorry, I did that, but I'll ask a different one instead. So on the data comments that you just made about your data sourcing strategy, does the breadth I think I understood you to say that ability to be flexible allows you to buy when you see good deals. I was going to ask, does the breadth cause you to have to pay more money? Or does your operating expense base grow disproportionately because of the breadth of that data? Maybe the answer is the opposite.
Peter Gassner: I can only really comment on our strategy. I wouldn't really know exactly as it compares to others. We believe we have a lower overall beta cost because of this. That's what we believe. Now the main reason to do this is for data quality. So if you're getting data from three different sources, that they're somewhat overlapping, you have a better chance of getting data quality. And this is one of the reasons why we can project data for medical claims, which is -- it might be something that's done at an infusion center. We can also project something for something that you pick up at Walgreens or CVS. Why? Well, because we're sourcing data from multiple points along the line. So the real benefit is more holistic view of the patient, we can project data for over 4,000 brands. And you can only do that. You can't do that if you're just projecting based on a few large retailers' data, you can't do that because if you look at 20 years ago or 25 when these legacy data products were started, or even when Veeva started in 2007, the biggest brand at the time was Lipitor and you've got Lipitor at the drugstore. Biggest brand now is KEYTRUDA. And you don't just walk into the drugstore and get that. It doesn't work that way or HUMIRA, et cetera. So ours is a modern approach that I think is the only way really to do it well for today's complex therapies. And I do think we'll have lower data cost over time. I do think that, but I don't have a proof of that.
David Windley: Got it. And then a follow-up relatedly, and again, not to ask a stumper, but this change health care cyber hack situation where some data is being held hostage in a fairly significant health care data switch, is that a situation that, say, in the future when your products are more mature that, that actually feeds to the way that you're collecting data and makes you more reliable than maybe some others might be?
Peter Gassner: Yes. Now as it relates to change, I am we're aware of that, of course, not the very specific details of the attack. I am aware of how the attack was made, but I'm not aware of the -- what's going on inside the change. But and I'm not going to disclose whether we get data from them or not. But yes, it is a switch. Now the good thing that happens here for the health care system most of the pharmacies are operating on relatively modern software such that they can point their software to different switches and there are standards that are in play. So that's a good thing that the health care system can recover. For us, again, without going into a lot of details, whichever way the data gets routed, there's a real good chance we're going to pick it up because we're picking it up in multiple places along the way. So I'm not -- even if we were at scale in our business, I would -- it's certainly unfortunate what happened with change, and I think it's terrible what's going on with the cyber tax, but it wouldn't affect our Compass or Crossix business.
David Windley: Yeah, I appreciate you taking my questions. Great. Thank you.
Peter Gassner: Thank you.
Operator: Our next question will come from the line of Craig Hettenbach with Morgan Stanley. Please go ahead.
Craig Hettenbach: Thank you. A follow-up question for Brent on the margin. Nice to see the strong guidance on fiscal '25. Can you just touch on -- there's some element of services OpEx coming down. Is this -- do you think a new run rate beyond '25 or is there normalization when you think about margin after this year?
Brent Bowman: Yes, and I would say, overall, the margin uplift we're seeing isn't really driven by services. I would say it's really a more broad thing. It's broadly how we're executing and that's how we leverage again our operating model, thinking about lean teams and really disciplined hiring broadly. So we feel good about how we've executed there. And that's basically what's informed our guide for the full fiscal year. I'm not going to talk beyond fiscal year '25 at this point in time. But we feel good about our ability to hit those operating income and our margin targets.
Craig Hettenbach: Got it. And then just a follow-up for Peter. Just on the momentum you're seeing in EDC wins. Can you touch on what you think is resonating most with new customers and then just key differentiating factors versus competitive offerings?
Peter Gassner: Well, as we get into this middle part of the market, I think a required thing would be positive customer references, right? If we -- our existing customers weren't happy and productive these current sales would not be happening because it is very easy for them to reach out to their peers and get a very authentic, hey, you're using Veeva today. How are you feeling about that? So I would say our customer success is leading the way. And then in terms of capabilities, it's agile study build to be able to build a complex study that has multiple arms quicker and more reliably. That's a big benefit. I would say the sort of what I would say, no coding. A lot of the existing -- at least a couple of the existing providers actually end up doing a lot of coding, actual coding work when you build a study. Now that is interesting for whoever is coding that study, but it's a bit of a headache for the people managing the study because when you have coding it's hard to keep that under control and the complexity grows and there can be errors and unforeseen things. So with Veeva, you don't do the custom coding, I would say the other one is people want a clinical platform, and that is clinical operations and clinical data management. And that's not something you can get from the existing leaders in the clinical data management area. So that then the customer has to develop a common data architecture between their clinical operations and their clinical data management from two different vendors. They have to develop the integrations. They have to keep those integrations running as the both products change. And that's really a headache that people don't want to deal with. So I would say it's those things that are contributing. And you might ask, well, how come everybody is not buying it all today that well, customers have priorities, and this is changing a very, very critical system, and you better have a good reason to do it. You don't do it unless you have pain in that area and not all customers have pain all at the same time.
Craig Hettenbach: Helpful. Thank you.
Peter Gassner: Thanks.
Operator: Your next question comes from the line of Anne Samuel with JPMorgan. Please go ahead.
Anne Samuel: Hi. Thanks for taking the question. I was hoping to go back to the earlier question around optimism. We've heard from some others in the industry that the annual budget flush did happen to some extent late in the quarter. Just curious, did you see that at all? And maybe any other notable green shoots that you can point to that are maybe driving your comments around optimism in the space? Thanks.
Peter Gassner: I guess I can take that one. For the budget flush, we don't really see that too much because ours are more critical and complex things, not so much discretionary. So we don't -- we just don't really see that as much. That may have happened. We just don't see it as much. And then in terms of the optimism overall, it's -- I want everybody to be clear, this is based on a feeling on intuition based on lots of discussions. So we have deep relationships with the customers because we have big strategic partnerships. So that's all. There's no -- I can't calculate it down into science. It's -- you know it when you feel it, and we feel it, but there's no -- you can't really quantify that.
Anne Samuel: Thanks very much.
Peter Gassner: Thank you.
Operator: Our next question comes from the line of Gabriela Borges with Goldman Sachs. Please go ahead.
Kelly Valenti: Hi. This is Kelly Valenti on for Gabriela. A question for me. Would be great to get an update on any impacts you're noticing in the industry due to any regulatory changes, particularly as biopharma companies think about potential future impacts of the Inflation Reduction Act and how that might change the way they invest? And then also just how customers are thinking about the risks associated with the upcoming election and how you're thinking about any potential impact?
Paul Shawah: Yes. Kelly, this is Paul. So I guess the way to think about regulations, and particularly, you brought up specifically the IRA. Our customers are certainly thinking about it, and they're thinking about it, first and foremost, on the drug development side because that's the long cycle in terms of what that starts to impact. The decisions that they make today around where the -- which kinds of molecules they're going to invest in small molecules, large molecules, which indications they're going to try to get approval for. Those are the kinds of things that will have an impact as it relates to the IRA. So those decisions and those thinking is happening now. So I would say that it's more acute on the R&D side than it is on the commercial side. From a commercial standpoint the -- it doesn't really hit until 2026, and then it's somewhat gradual and it's somewhat focused and acute on specific companies. So more thinking and more action on R&D. And I think over time, it will start to impact more of the commercial side. But companies are responding. They're making decisions. They're making changes, and they're also innovating. You heard some of the optimism around the science and the innovation of the new medicines. So I think there's also a lot of optimism that the industry will continue to innovate and kind of drive through some of the negative or the potential headwinds of IRA. In terms of other things like elections and kind of other regulatory changes, those things are generally -- this is a generalization, but they're generally neutral to net positive because when you modernize and you become more digital, you generally need to -- it helps companies become more agile. When regulations are put in place, you need to comply, you may need to change, and drive change management. And that usually is to the benefit of becoming more digital and using technology to comply with regulation. So it's kind of a generic answer, but hopefully, that gives you a sense of how we think about it and what we typically see.
Kelly Valenti: Very helpful color. Thank you.
Operator: Our next question will come from the line of Jailendra Singh with Truist Securities. Please go ahead.
Jailendra Singh: Thank you and thanks for taking my questions. I have a couple of clarification questions on your macro commentary. First, a quick clarification on the services side. You seem to be indicating that the environment has been largely unchanged since your last earnings call. But one of the factors you called out in your lower outlook for service its project timing. So have time lines been getting more elongated? Or is it more that your expectations from some of these projects coming back is now pushed out a little bit?
Brent Bowman: I mean it's -- so what we said was it hasn't gotten worse or better in the last 90 days. So we did see an impact, obviously, in services, we talked about 90 days ago. So that has continued a bit on the project timing side. So that is what has largely driven the services reduction that we talked about in our guide. That was the primary driver. And there's a couple of other items that we contemplated into the implementation excellence as well as some of the investments we're making. So if you take all of that together, that's what's informing our guide and the slight reduction that we had.
Jailendra Singh: Okay. And then one quick follow-up on the R&D spending. Clearly, I think it's very well-known that a lot of R&D dollars are going in, obviously, weight loss GLP-1 area and even you flagged that our understanding is pharma companies might be doing a decent chunk of these trials in-house versus outsourcing to CROs. Do you think those R&D dollar allocation to in-house trial is providing some tailwinds for your Development Cloud business?
Peter Gassner: I think I haven't seen a dramatic shift in-source versus outsourcing on trials that goes back and forth. So I haven't seen a dramatic change. And right now I think we -- that doesn't really affect our business too much the in-source or the outsource. If they outsource, maybe we can pick it up to the CRO. And the big companies, they're always going to in-source a lot of their trials anyway. So it doesn't really affect us right now.
Jailendra Singh: All right. Great. Thanks a lot.
Operator: Our next question will come from the line of Brad Sills at Bank of America. Please go ahead.
Bradley Sills: Great. Thank you so much. I wanted to ask about the Data Cloud. Peter, it looks like some pretty exciting releases here of enhancements here, the prescriber and Compass National. Could you just elaborate on those? It seems like no better time than the presence to come to market with a revamped data cloud. So what are you excited about there? And how could that cycle augment growth?
Peter Gassner: Yes. I am excited about it. And I think the timing is great. There hasn't been a new entrance in that market for that type of data really for that projected data for more than 15 years since Veeva started. And it's critical data. It's used for segmentation and targeting, field force sizing, how big is your field team? Who are you going to call on the tactics that you're going to use, use for incentive compensation, business planning, critical things. And I feel like we're we had a vision when we bought Crossix, say we would get Crossix. It has a data network. We like the Crossix business. We can grow it and we can add more data sources, grow that data network and use that to really do something innovative in data around Compass. And we stuck to the plan, and I'm proud of over the last couple of years, we've always taken the innovative approach on Compass, not the easy approach of copying what's out there. And so now it's coming to fruition and it feels great. It just feels like when we start involved. It's innovative so that only one out of 20 people really get it, right? Because it's innovative and it's different and it's, well, what is this? But I think the facts are on our side. So I think the timing couldn't be better, and I'm really happy with the team we have. And I'm really happy we have some happy early customers. But I don't want to get out ahead of our skis with prescriber and national, we just released them in the end of January, gosh. So we released the December data set in the end of January. That's a long way from having happy customers that are using it for a year, paying incentive compensation on it, really happy with the product and the service but that's the hard work we got to do over the next year. But if we execute, I think the future is pretty bright.
Bradley Sills: That's great, Peter. One more, if I may, please, on the Commercial Cloud. I understand that you're going through the transition here to the new platform. It sounds like while that's going on, that will weigh on the ability to cross-sell some of these newer solutions, should we take that to mean once you're kind of through that transition, I guess, 1.5 years, 2 years from now, maybe that's optimistic. But at that point, you will have the opportunity to better cross-sell and upsell some of these newer solutions in the suite and maybe we're due for a reacceleration at that point?
Peter Gassner: Well, in terms of -- we will have the re-acceleration, I don't want to make any projections out that far. But certainly, the ability to cross-sell will start opening up in the next within two years or so, but that will then gradually open up, right? Because there'll still be customers using Veeva CRM in 2028, I think, hopefully, by 2029. And certainly, by 2030, they'll be all migrated, so it's the correct way to think about it, this re-platforming, you think about it, since we're in the life sciences industry, you could think about it as a strong medicine that Veeva has to take for the industry, right, to do this to the re-platforming. It's not a positive to the revenue in the short term, but it's the right thing and it will be a positive to the revenue in the long term. For example, this marketing automation that we're building, I think it could be extra, extra, extra innovative because it will be life sciences specific, it will be regionally aware which is the way you do this stuff in Japan and Germany and the US is quite different in life sciences. And it will be aware of the field, the sales team. So you could use our marketing automation to inform your sales team of marketing for sure, but let your sales team control some part of marketing or you could use a campaign to control your sales team because they're all operating on the same date of the same segment. So it's like having Marketo inside of Salesforce.com and industry specific. That's not been done before. So as you can tell, I'm excited about the future, and we'll be able to show some of these products at our Customer Summit in May, especially the call center one, the service center is really coming along. So I'm really happy about it. But, yes, we've got to take this medicine for three or four years, and it doesn't taste good right now. How about that?
Bradley Sills: Understood, Peter. Well, thanks for the optimistic view on the longer-term exiting that.
Peter Gassner: Thank you.
Operator: Our final question will come from the line of Charles Rhyee with TD Cowen. Please go ahead.
Charles Rhyee: Thanks for squeezing me in. Really just some follow-up questions, maybe for Brent on just the guidance then. Obviously, op margins, you're guiding sort of 38% in the first quarter, full year, more like 39%. Any color you can give in terms of how we should think of cadence for margins through the course of the year? And then secondly, in the subscription revenue guidance, how much of that is already contracted at this point? And how much maybe do you need to win over the course of the year? Thank you.
Peter Gassner: Yes. What I would say on the -- regarding the op income op margin, we feel -- again, we provided guidance for the full year in Q1. There's always going to be a little bit of movement between quarters. But overall, we feel really good about how we're executing in the efficiency that we have. So I'm not going to provide any additional color on how Q2, Q3 and the slope of that curve. But just know that we're executing well, and we feel good about those numbers. Then your other -- your secondary question, sorry, I didn't write it down. It was around subscription?
Charles Rhyee: In the subscription revenue guidance, how much of that is already contracted versus how much you maybe need to win through the course of the year?
Peter Gassner: Yes. What I would say is our visibility is at least equally as good, if not better than it was in previous times. So we have visibility and the part of that continues to get informed as we close more business and we have these ramping deals. So visibility is at least as good as we've had in the past.
Charles Rhyee: Okay, I appreciate that. Thanks so much.
Peter Gassner: Yeah, thank you.
Operator: I'll now hand the call back to Peter Gassner for any closing remarks.
Peter Gassner: First off, thanks to everybody who asked these really thoughtful or insightful question, thanks for your interest in Veeva and your understanding of Veeva. The good questions help everybody have more clarity. I really appreciate that. And then I'd like to close by thanking our customers for their trust and partnership and the Veeva team for all the work in the year and that I believe will have a major impact on the industry and drive our growth for years to come. Thank you.